Pedro Cota Dias: Hello, everyone. Good morning. Welcome to NOS's Third Quarter 2025 Conference Call. I'll hand you over to our CFO, Luis, who will deliver a short presentation, and then we'll open for Q&A as usual.
Luis do Nascimento: Well, good morning, and welcome to NOS's third quarter conference call. We will begin, as usual, with the main highlights of the third quarter. A strong operational performance with the RGU trends significantly improving versus previous quarters. Consolidated revenue of EUR 457 million, strongly impacted by A&C decline despite resilient performance from Telco, an efficient cost management that is driving EBITDA growth and sustainable operational cash flow generation and a solid balance sheet and financial position with leverage below reference level of 2x. So a quick overview of our main KPIs. This quarter, revenues declined 1.2% to EUR 457 million, but EBITDA rose 2.7%. This positive EBITDA performance, along with a CapEx reduction of 2% led to improved EBITDA CapEx of almost 10%. Recurring free cash flow, excluding extraordinary effects, decreased 19% and net income increased 25%, reflecting the solid operational performance and our strategic transformation program. NOS proudly leads in global sustainability, having been recognized by both Time and the Financial Times in their international benchmarking rankings as one of the world's most sustainable companies. This impressive achievement places NOS as one of only 5 Portuguese companies in both lists and the only one from the telco sector. This highlights NOS's strong commitment and significant progress towards a sustainable future. Furthermore, NOS has received recognition from DECO Proteste, the leading Portuguese Consumer Rights Association Magazine, being named best in test for its mobile Internet, Wi-Fi and TV services. It's the first time any operator has secured all 3 core distinctions, underscoring NOS's strong commitment and investment in superior network and quality of service. On the operational performance side, this was another strong quarter of fiber-to-the-home expansion. More than 5.9 million households are now covered by NOS gigabit fixed network with FTTH representing almost 88% of households passed. This is a significant increase of 78,000 households quarter-on-quarter and almost 300,000 year-on-year. But despite the challenging competitive market, NOS strong offers and commercial capabilities delivered a very strong third quarter with a 2% increase to 10.9 million RGUs. With 131,000 net adds, this quarter posted the highest level of net adds since 2023, driven by solid numbers in both fixed and mobile RGUs. With 12,000 net adds of unique fixed accesses, this third quarter saw an acceleration of the operational momentum, driven by high levels of fiber deployment, low levels of churn and competitive offers, particularly from WOO brand and naked broadband that are changing the mix of new customers. In mobile, we do 111,000 net adds in the quarter. Mobile RGUs increased 3.3%, reflecting a stronger performance both in postpaid and prepaid. Postpaid has 160 net adds, posting very strong results driven by Woo and NOS competitiveness on convergent cross-sell. Prepaid net additions continued to improve since first quarter and just decreased 5,000 in the quarter, a clear improvement from Q2 seasonality despite competitive pressure. In summary, a solid operational performance and a strong improvement versus the previous quarters. Now moving to our Audiovisuals and cinema business. The number of tickets sold declined by 28% driven by the lack of blockbusters lineup this quarter in contrast with third quarter '24, which featured several box office hits, including Inside Out 2, the most watched film ever in Portugal. The Audiovisual segment was dragged down by cinema distribution, reflecting the lack of successful movies lineups in this third quarter as opposed to third quarter '24, where NOS distributed Inside Out 2. Only 3 NOS Audiovisual films ranked in the top 10 this quarter, harming NOS performance. Now on the financial performance side, NOS consolidated revenues decreased 1.2%, a reduction of EUR 5.5 million, driven by a EUR 6.8 million decline in the Audiovisuals and Cinema division and despite the resilient performance of the Telecom segment. Telco revenues show a resilient 0.3% growth, primarily due to the performance of the enterprise sector, which posted a 4.4% increase driven by the corporate segment. The B2C segment experienced a decline of 1.2% due to increased competition impacting [indiscernible] despite stronger operational activity. The new IT business showed a small decline of 0.4%, mainly driven by a reduction in the volatile resale of equipment and licenses. However, this was almost fully offset by a solid 8.4% growth in IT services. As previously explained, the Audiovisuals and Cinema division reported a 21% decline, driven by the 28% reduction in cinema attendance. So NOS's operational performance and the solid results of NOS transformation program supported on Gen AI-driven efficiency program continued to deliver a solid 2.7% EBIT increase, significantly above revenue with a robust contribution from telco and IT, which recorded increases of 4.3% and 10.4% and despite Media segment decline of 21%. This quarter, NOS achieved a 4.6% OpEx decline, largely due to proactive cost management and Gen AI supported transformation program that continues to boost structural efficiencies organization-wide. Two significant examples of AI impact this quarter include the automation of call center and customer care service through LLM-powered voice virtual assistants and Gen AI-based chatbots, which drove a 19% reduction in customer care costs. Furthermore, a 14% reduction in maintenance and repair costs was achieved by decrease in call times and intervention orders, also driven by AI. NOS CapEx continues the structural declining trend, and this quarter dropped 2% to EUR 91.5 million, mainly supported by the telco CapEx decline of 2%. In Telco, we saw a 2.4% reduction in customer-related investments and a 3.7% decrease in base CapEx. Expansion CapEx, however, saw an exceptional increase of 1.8% this quarter, driven by a temporary peak in NOS FTTH projects. IT CapEx increased by EUR 300,000 to EUR 1.9 million, driven by customer-related investment to support business growth and Audiovisuals and Cinema CapEx declined 7% to EUR 4.6 million, reflecting a return to a more normal spending levels. As a result, improved operational performance and efficient CapEx management drove a 9.6% increase in EBITDA AL minus CapEx. NOS show the consolidated net income rise 25% to EUR 65 million, a strong EBITDA growth supported by a solid operational performance and nonproactive cost management were key drivers, complemented by reduced financial costs and the EUR 5 million contribution from tax incentives. Free cash flow declined by 56% to EUR 51 million, primarily due to a reduction of almost EUR 50 million in extraordinary effects mainly related to tower sales to Cellnex and the tax receivable paid in advance in 2023, which positively impacted third quarter by EUR 30 million. However, this quarter, we have a negative impact of EUR 90 million in taxes from extraordinary gains in 2024 from tower sales and refund of activity fees. With NOS's extraordinary items, recurring cash flow dropped 19%, driven by a EUR 39 million increase in taxes that totally offset the positive impact of the strong operational performance, lower investments, a reduction in working capital and lower interest rates. To finalize, this quarter, NOS debt decreased to EUR 1,093 million and the financial leverage ratio dropped to 1.6x, well below the reference threshold of 2x. Additionally, NOS benefits from a lower average cost of debt, now below 2.8%, representing a decrease of 0.2% quarter-on-quarter and 1.2% year-on-year. As end of March, the company held EUR 343 million in cash and liquidity. So with this, we conclude our presentation, and we are now ready to answer to all your questions.
Operator: [Operator Instructions] Our first question comes from the line of Mollie Witcombe from Goldman Sachs.
Mollie Witcombe: I have 2 questions, please. Firstly, on the competitive environment. If you could give us a little bit more color on how that is progressing versus previous quarters, specifically in the budget segment. It would be really good to understand as well the uptick in net adds that you've seen. Is it mainly driven by WOO and the budget segment or elsewhere? And then my second question is on upside from cost efficiencies. Obviously, you've set out your transformation plan. To what extent are these savings already make a part of guidance? And to what extent do you think there's potential for further upside from cost efficiencies driven by AI savings?
Miguel Almeida: Thank you very much for your questions. In terms of competitive environment, to be completely honest and transparent, these last few months, I don't think there's any news, anything relevant that is different from the previous months. So the dynamics since last November has been more or less the same. There's -- in our case, there is already some weight in terms of gross adds coming from the discount brands, but that number is still -- not even double digit. But still, it's more or less stable in terms of weight of gross adds. So to be honest, we don't see anything changing significantly from what we have seen in the first half of the year.
Luis do Nascimento: On the cost efficient side, I would say that cost efficiencies are the main driver behind the operating cost decline of 2.6% in telco. Almost all of it are coming from efficiencies, as I said, from customer-related and from operating-related cost decrease, we believe they are sustainable as the Gen AI initiatives are still far from explored. It's a long-term program. So we believe that we will have efficiencies for a long period.
Operator: We'll now move on to our next question. Next question comes from the line of António Seladas from A|S Independent Research.
António Seladas: Thank you for the presentation. It's just one. It's related with the [indiscernible] that your retail customers are renegotiating their packages. So taking in consideration that this new environment is now about 1 year old. And at same time, your loyalty programs are for 2 years, so it's fair to assume that roughly 50% of your customers -- retail customers all have [indiscernible] package? Or do you think this is too optimistic?
Miguel Almeida: Look, first of all, thank you for the question, António. We -- since in this new competitive environment, so again, last 12 months, the pressure on our retention lines, so customers trying to renegotiate contracts has not increased. It has been more or less stable. We haven't seen -- namely on these last few months, we haven't seen any pickup on customers trying to renegotiate contracts. So on that front, I would say also like in the competitive environment, things are pretty much stable.
António Seladas: Nevertheless, your [indiscernible] blended price in retail are coming down 1% year-on-year on the second, now about 2%. So is this kind of performance that we should expect for the coming quarters? .
Miguel Almeida: Look, that decline has a number of effects built into it. First of all, there are -- you have the data -- mobile data revenues that we had a one shot decline last December or November. That's a one-off effect that will not continue for the future. And then you have -- as I mentioned, we already have since last November, some gross adds coming from the WOO brand, the discount brand, which has a much lower ARPU than our brand. So in terms of -- and that progressively has an impact. And on top of that, I would recall that we didn't have the price increase beginning of this year. So if you have to add up all these effects to explain that decline.
Operator: We'll now move on to our next question. . Next question comes from the line of Fernando Cordero Barreira from Banco Santander. .
Fernando Cordero: Three questions from my side, if I may. The first question is as a follow-up on the strategic transformation plan. You have already highlighted the impacts on the customer care and in maintenance and repair costs. Are you foreseeing any other area in the operational side where the AI-driven efficiencies could be as relevant as in this, too? The second question is related with the [indiscernible] expansion. You have already commented in the presentation that you have already added 300,000 new homes. I would like to understand what is the still potential expansion of [indiscernible] network. What would be the, let's say, the number of households that could be deployed in the future just to understand which is also the impact on your potential top line growth? And the last question is, looking to your KPIs where the some performance in volumes has been offset by the trends in ARPU as you have already highlighted. I would like to understand -- or I understand that you are prioritizing volumes versus customer value versus ARPU can you help us to understand why have you opted by this scenario instead of prioritizing ARPU versus volumes? Just to understand what has been your way of thinking in the current strategy?
Miguel Almeida: Thank you, Fernando. I would like to start with the last question, which I think it's very interesting. Well, I don't think it's fair to say that we are prioritizing volume against price. As I mentioned, we -- of course, we don't want to give too much space to the discount -- brands of the discount players. And we launched, as you know, a discount brand, and obviously, that has an impact because progressively, we have more customers within this brand with lower ARPUs, much lower ARPUs. And when you see the combined ARPU, that has an effect. But that's it. I don't think it's fair to say that we are prioritizing volume versus price. We are not going to give too much space to the new entrants, that's for sure. But we are trying to manage value. I don't think your comment is very fair, to be honest. I understand it. Don't take me wrong. I understand it. But this is a result of a number of things. Our strategy is not to prioritize volume against price. It's to find the right mix.
Luis do Nascimento: Okay. So on the transformation program, the Gen AI is part of our program, and we -- the idea is to massify Gen AI across the entire organization. We have around 135 different use cases, and we have just started with around 25% of them. So there's a lot of room to massify GenAI across NOS. On the expansion, we are expanding FTTH, our own FTTH, and we will do it until the end of the first half of 2026. But we will have -- then we will have houses from third parties. So we expect it to have around 300,000, 350,000 houses for the next year, but a significant part of them from third parties. So our CapEx -- expansion CapEx will continue to decline in the -- in 2026.
Fernando Cordero: Just a follow-up on the network expansion side. Not only I'm, let's say, looking to understand what could be the CapEx trend for next year. Also to understand, given that you are increasing your footprint by close to 5% and your customer base in terms of fixed assets by around 2%, I just 0I would like to understand which would be the network expansion that you are expected for '26, '27, not just on the impact of CapEx, but particularly in the impact of new addressable areas for your marketing activities?
Miguel Almeida: I would share 2 comments on that. First of all, there is a time to take up. So one thing is to have the expansion. Another thing is to acquire customers, it takes time. So you cannot expect -- if you increase by 5% the number of households, you don't -- you cannot expect to increase the number of customers by 5% day 1. It takes time, and it takes a lot of time, obviously. So the take-up is going according to our expectations, but there's obviously a delay. On the CapEx side, what you can expect as we have been saying for quite some time now is CapEx going down. Part of this expansion -- fiber expansion is on third-party networks. So what you can expect for next year in terms of CapEx is a reduction.
Operator: We'll now move on to our next question. Our next question comes from the line of José Cabezon from [ CaixaBank ]
Unknown Analyst: One question regarding the efficiency plan. You have mentioned that you have 135 areas of where you can extract more efficiencies. Could you tell us the percentage of potential sales that have been already considered? And the amount that will be -- will emerge in the coming quarters?
Luis do Nascimento: Okay. Well, to give you the percentage of efficiencies that we have, it's a form of guidance. So we are not sharing this number.
Unknown Analyst: Okay. And my second question is regarding the comparison basis for us from this quarter. Are you expecting that the decline in RPUs and the changes that we are seeing year-over-year are going to soften in the coming quarters?
Miguel Almeida: Well, let's say, our expectation is that it can get a little bit worse before it gets better. Long term -- sorry, just to add to that. So you're talking about the next quarter.
Unknown Analyst: I am referring to the -- basically as from the next quarter, what we are going to see, especially in the first quarter of next year and the following ones?
Miguel Almeida: Our expectation is that short term, probably it will decline a little bit more medium term. So looking 6 months, 9 months ahead, it will stabilize.
Operator: We'll now move on to our next question. Our next question comes from the line of Roshan Ranjit from Deutsche Bank. .
Roshan Ranjit: I've got 2, please, many follow-ups. Just on the competitive dynamic. And I guess, having had quite a strong start to the year, the new entrants momentum has perhaps stalled. I don't know if that's fair to say. How should we then be thinking about the scope for price increases next year? Because I think typically, it's around this time where you do inform your customer base around the kind of inflationary pricing indexation that we see. And I think this year, we didn't have anything. And secondly, it's around the network dynamics. And have you changed your stance or have you seen kind of incremental approaches for wholesale access? Anything that has changed on that front? Again, the new entrant has been pushing hard to increase their coverage. Any thoughts around that, if there's been any change or is it still the same?
Miguel Almeida: Well, thank you for your questions. You're right, it's more or less around this time of the year that we have to inform customers, but it's still closer to the end of November, beginning of December. And the fact is that as of today, we have no decision. But I can tell you that we are evaluating the option, and we have no conclusion yet, but we are looking into it seriously. And we'll inform the market of our decision or not by the end of November. In terms of network development and wholesale access, namely from the new entrant, we don't know if -- with us, there's no discussions whatsoever. With the others, we don't know if there are any discussions, but in terms of closed deals, there's nothing new.
Operator: We'll now move on to our next question. We have a follow-up question from the line of Fernando Cordero Barreira from Banco Santander. .
Fernando Cordero: It's only one. I just would like to understand if there is any news regarding the legal situation of one of your majorholders, the 26% stake [indiscernible]. Just to understand if there has been any update or you have any update on that situation?
Miguel Almeida: Well, that's the easiest question of all. No developments whatsoever. Nothing new. Everything is as it was 1 year ago, 2 years ago, 3 years ago.
Operator: There are no further questions at this time. So I'll hand the call back to Pedro Dias for closing remarks. .
Pedro Cota Dias: Okay. So thanks very much for tuning in, and we hope to see you back in fourth quarter 2025 results. Bye-bye.